Operator: Good afternoon. Thank you for joining Tetragon's 2024 Half-Yearly Investor Call. You are all in listen-only mode. The call will be accompanied by a live presentation, which can be viewed online by registering at the link provided in the company's conference call press release. This press release can be found on the homepage of the company's website, www.tetragoninv.com. In addition, questions can be submitted online, while watching the presentation. As a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation.
Paddy Dear: As one of the principals and founders of the investment manager of Tetragon Financial Group Limited, I'd like to welcome you to our investor call, which will focus on the company's 2024 first half results. Paul Gannon, our CFO, will review the company's financial performance for the period; Steve Prince and I will talk through some of the detail of the portfolio and performance, and Steve will spend some time discussing the outlook. As usual, we will conclude with questions, both taken electronically via our web-based system at the end of the presentation, as well as those received since the last update. The PDF of the slides are now available to download on our website, and if you're on the webcast, directly from the webcast portal. Before I go into the presentation some reminders. First, Tetragon's shares are subject to restrictions on ownership by US persons and are not intended for European retail investors. These are described on our website. Tetragon anticipates that its typical investors will be institutional and professional investors, who wish to invest for the long term and who have experience in investing in financial markets and collective investment undertakings, who are capable themselves of evaluating the merits and risks of Tetragon shares, and who have sufficient resources both to invest in potentially illiquid securities and to be able to bear any losses which may equal the whole amount invested and that may result from the investment. I would like to remind everyone that the following may contain forward-looking comments, including statements regarding the intentions, beliefs, or current expectations concerning performance and financial condition on the products and markets in which Tetragon invests. Our performance may change materially as a result of various possible events or factors. So, with that, I will pass over to Paul.
Paul Gannon: Thank you, Paddy. Tetragon continues to focus on three key metrics when assessing how value is being created for and delivered to Tetragon shareholders. Firstly, how value is being created via NAV per share total return. Secondly, how investment returns are contributing to value creation, measured as a return on equity or ROE. And finally, how value is being returned to shareholders through distributions, mainly in the form of dividends, but also in the form of buybacks. The fully diluted NAV per share was $31.50 at 30th June, with a NAV per share total return of 1.9% for the first half. Since its IPO in 2007, Tetragon has achieved an annualized NAV per share total return of 10.3%. For monitoring investment returns, we use an ROE calculation, which was plus 1.3% for H1 2024, and that's net of all fees and expenses. The average ROE achieved since IPO is now at 11%, which is within the target range of 10% to 15%. So, looking at the final key metric, Tetragon declared a dividend of $0.11 for the second quarter, which represents a dividend of $0.22 year to date. Based on the quarter end share price of $10.30, the last four quarters' dividend represents a yield of approximately 4.3%. In addition to this, Tetragon also returned approximately $25 million to shareholders during the first half through a tender offer in April. And we'll reference this again when we go to the next slide, which is the NAV bridge. So, this shows the NAV bridge, which breaks down into its component parts the change in Tetragon's fully diluted NAV per share, which started the year at $31.13 and ended the 30th June at $31.50. Investment income increased NAV per share by $0.82 per share. Operating expenses, management and incentive fees reduced NAV per share by $0.26, with a further $0.14 per share reduction due to interest expense incurred on the revolving credit facility. On the capital side, gross dividends reduced NAV per share by $0.22. There was a net dilution of $0.40 per share, which is labeled in the NAV bridge as other share dilution. This bucket primarily reflects the impact of dilution from stock dividends, plus the additional recognition of equity-based compensation shares. This is offset by share repurchases, which were accretive to NAV per share increasing this number by $0.57. Tetragon repurchased $25 million of its nonvoting shares during H1 2024, with the tender offer being completed in April. Inception to date the company has returned approximately $1.7 billion to investors, through dividends and share repurchases. I will now hand back over to Paddy. Presenter Speech
Paddy Dear: Thanks, Paul. As on previous calls, before we delve into the details of our performance for the period, I'd like to put the company's performance in the context of the long term. Tetragon began trading in 2005 and became a public company in April 2007, so the fund has 19 years of trading history. This chart shows since IPO, the NAV per share total return which is the thick green line and the share price total return, which is the dashed green line. And the chart also shows the equity indices for the MSCI, ACWI and the FTSE All-Share and lastly, it shows the Tetragon hurdle rate of SOFR plus 2.75%. As you can see in the graph, over the time that Tetragon has been trading as a publicly-listed company our NAV per share total return is 440%. And as Warren Buffett has said, compounding is the eighth wonder of the world. We believe that our somewhat idiosyncratic structure of a listed fund, owning alternative assets and a diversified alternative asset management platform has helped us create hopefully, an alpha-driven ecosystem of ideas, expertise, insights and connections that help us do this. In 2024, as Paul showed, we've made a small positive return year-to-date, but this is somewhat below our long-term target and also below most equity market indices for the year. The main reason for this we believe is, that actually there's been a very narrow universe of growth equity stocks that has driven this year's performance in most equity indices, the Magnificent seven in particular in the US. And while that is or may be fantastic, it's not our focus. We pursue diversification and expect our broader themes to play out over time. And as I've said before, particularly at the end of the year, that's not an excuse, it's merely an observation. So continuing the theme of looking at the longer term, here are some more performance metrics. Our return on equity or investment return target is 10% to 15% over the cycles, and the average return since IPO is 11%. The table also shows that over 40% of the public shares are now owned by the principals of the investment manager and employees of TFG Asset Management. We believe this is very important, as it demonstrates a strong belief in what we do, as well as a strong alignment of interest between the manager, TFG Asset Management employees and Tetragon shareholders. So moving on the next slide, shows the composition of Tetragon's assets. So looking at the breakdown of the $2.8 billion of NAV. These colored discs show the percentage breakdown of our asset classes and strategies as at year-end 2023 on the left, and compares them with the end of half one 2024 on the right. And I would note three changes. Firstly, our exposure to private equity and venture capital is up to 18% from 16% at year-end and that has been driven by performance majority, but plus one or two new investments. Secondly, I would highlight the bank loans are down as an exposure to 6% from 8% at the beginning of the year and this has been driven by good cash receipts from our exposure, and those have not been replaced by new CLOs and we'll come on to that in a bit more detail in a moment, and there have been some losses on some older vintage loans. And the third piece to highlight is, the private equity and asset management companies continues to grow. It has moved up from 44% to 45%, as these businesses continue to grow in the first half and their valuations have increased. So, next, we'll move on to discuss the performance in more detail. The NAV bridge that Paul showed was a high-level overview of NAV per share. This table shows a breakdown of the composition of Tetragon's NAV at the end of 2023 versus the end of the first half of 2024, broken down by those asset classes, and it shows the factors contributing to the changes in NAV. Thus this table shows investment performance plus capital flows and so tying back to the change in NAV. As you can see from the bottom row of the table, the aggregate investment performance labeled gains and losses was a gross profit for the period of plus $73 million. Specifically, TFG Asset Management, which is our private equity holdings in asset management businesses had gains of $92 million. As I mentioned, these management businesses continue to grow and perform well over the first half. Secondly, hedge fund strategies event-driven equities and convertibles and credit lost $2 million in aggregate in the first half. Bank loans through CLOs had a loss of $12 million in the first half. Real estate had a loss of $5 million. Private equity and venture capital had a gain of $29 million, legal assets a gain of $2 million, and other equities and credit loss of $32 million. So now let's get into more detail on each category and we'll start with TFG Asset Management our private equity investments in asset management companies. And for that I'm going to pass over to Steve.
Steve Prince : Thanks, Paddy. Before I review the performance of TFG Asset Management's constituent businesses, I wanted to take a moment to remind listeners of TFG Asset Management's strategy and key value proposition. We continue to look to add new strategies, and help individuals and teams to create successful asset management businesses by leveraging TFG Asset Management's operating infrastructure and shared strategic direction with Tetragon, who can support asset management businesses through co-investment and working capital. At the same time, we continue to look for creative ways to help our partners grow their existing businesses, which may involve selling partial stakes or whole businesses if we and they believe it may unlock future growth and value. I would now like to move on to the performance of our asset managers during the first half of 2024. Our private equity investments and asset management companies through TFG Asset Management recorded an investment gain of $92 million during the period, driven by investments in Equitix an integrated core infrastructure asset management and primary project platform; and in BGO Tetragon's real estate manager. Some more detail on each investment. Tetragon's investment in Equitix made a gain of $77 million, driven by a combination of: A, higher valuation as the business continued to deliver against its business plan and increase in market multiple from 9.5 times to 10.5 times; and B, dividend income received by Tetragon of $19.2 million. Next, BGO, which is our real estate-focused principal investing lending and advisory firm. During the first half, distributions to Tetragon totaled $9 million reflecting a combination of fixed quarterly contractual payments and variable payments. The valuation of BGO is on a discounted cash flow basis with an assumed exit upon exercise of the call/put in 2026-2027. The gain on the investment was $26 million. Approximately half of that gain was due to the unwinding of the discounted value, which occurs as we get closer to the put/call day as well as a reduction in discount rate. The other half of the gain was due to an increase in the value of expected carried interest in addition to actual payments received from the BGO funds. Tetragon's investment in LCM, which manages bank loan assets through CLOs made a loss of $15 million. This decrease in valuation is reflected by the reduction in LCM's AUM, which decreased by 9% reflecting the amortization of some existing deals. LCM did issue one new deal during the period. TFG Asset Management's other asset managers produced a collective gain of $4 million during the first half of 2024. The other managers include Westbourne River Partners, an alternative asset manager focused on event-driven investing in European small and mid-cap equities; Acasta Partners, an alternative asset manager focused on event-driven investing in European small and mid-cap equities; Acasta Partners an alternative asset manager employing a multidisciplinary approach; Tetragon Credit Partners a structured credit investing business focused on primary CLO control equity; Hawke's Point an asset management business that provides strategic capital to companies in the mining and resource sectors; Banyan Square Partners a private equity firm focused on non-control equity investment opportunities and opportunistic investments in public equity and credit instruments; and Contingency Capital a global asset management business focused on credit-oriented legal assets. Paddy, will now go over our hedge fund investments.
Paddy Dear: Great. Thanks Steve. Tetragon invests in event-driven equities convertible bonds credit and some other strategies through hedge funds. The majority of these investments are through funds managed by Westbourne River Partners and Acasta Partners both of which are part of TFG Asset Management. Our investment in the Westbourne River European event-driven strategies, recorded a loss of $12.9 million in the first half. The strategy focuses on event-driven investing in European small-cap and mid-cap equities to pursue what it believes are more attractive and less followed opportunities seeking to deliver uncorrelated alpha and the Low Net strategy has targeted net exposure of between 0% to, 30% whereas the Long Bias strategy has targeted net exposure of approximately 75%. Secondly, our investments in Acasta Partners funds, generated a gain of $8.7 million. There were some positive events in a number of credit-focused trades and positive performance from the NAV-per-resources positions and so those benefit both funds year-to-date. Investment in other hedge funds, which includes the Global Equities Fund has a small gain of $1.9 million during the first half and obviously still remains a small portion of the portfolio. Moving now on to bank loans, Tetragon predominantly invests in bank loans through CLOs. And we take the majority of positions in the equity tranches. Tetragon's investment split is shown here between directly-owned U.S. CLOs and funds managed by Tetragon Credit Partners. We continue to view CLOs as attractive vehicles, for obtaining long-term exposure to the leveraged loan asset classes. In aggregate, our bank loan investments recorded a loss of $11.7 million for the first half of 2024 and that was while cash received during the period was approximately $42 million and new investments were merely $4 million. Performance was generally driven by therefore on the positive side, interest rates stayed higher for longer which does increase the cash flows of CLO structures; plus there was a realized gain in an asset sale in TCI III which was above its marked value. And then, on the negative side there have been some realized and unrealized losses in some older vintage loans. On Tetragon Credit Partners TCI II and III are fully invested. TCI IV is currently in its initial investment period and Tetragon has a further $6 million committed, but undrawn to TCI IV. Next slide is on real estate. Tetragon holds most of its investments in real estate, through BGO-managed funds and co-investment vehicles. The majority of these are private equity-style funds concentrating on opportunistic investments, targeting middle market opportunities in the U.S., Europe and in Asia with particular focus on growth sectors such as logistics, data centers, cold storage. These funds in aggregate had a loss of $5 million during the first half and that was mainly from the U.S.-focused funds. The last line on this chart is the, other real estate which is farmland investment in Paraguay which is managed by a specialist third-party manager in South American farmland. And the investment had a small loss which represents the ongoing costs. With that, I'll now hand you back to Steve.
Steve Prince: Thanks, Paddy. Tetragon's private equity and venture capital investments, was the second largest driver of performance during the period generating gains of $29 million. Investments in this category are split into the following subcategories. First, Tetragon's mining finance investments managed by Hawke's Point, generated a gain of $29 million driven by operational progress at one of its Australian gold project investments, as well as ongoing developmental progress at its Canadian nickel and copper project investment. Second, Banyan Square's portfolio companies achieved solid operating results with a focus on profitability. However, this was offset by weaker macro environment. As a result, the portfolio lost $1.3 million. There are 12 active positions in the fund including positions focused on application software, infrastructure software and cybersecurity. In addition, together with TFG Asset Management Banyan Square Partners began working with WovenLight, a data-driven consulting and software services business in which we made a strategic investment last year. WovenLight may add further investment opportunities for the Banyan Square team. In addition the platform as a whole stands to benefit from the addition of WovenLight's machine learning and AI expertise. The third category is our investments in externally managed private equity funds and co-investment vehicles in Europe and North America. These investments generated losses of $4 million during the period spread across 37 different positions. Lastly, the direct category produced gains of $5 million during the period related to positive performance in our investment in Ripple Labs Inc., driven by the most recent tender offer conducted by the company. In the next slide, there's an overview of our legal assets investments. These investments in legal assets are made through vehicles managed by Contingency Capital. Tetragon has committed capital of $60 million to Contingency Capital Fund I, $38 million of which has been called to date including $6 million during the first half of the year. A gain of $2.2 million was generated from this investment. Fund I is almost fully invested. The performance of the Contingency Capital Fund I portfolio continues to be above underwritten projections and the performance targets and the performance of such portfolio remains uncorrelated to the public equity and debt markets. Contingency Capital held a first close for a new evergreen fund in June and a first close of Fund II in July. Tetragon has committed capital of $10 million to the first close of Fund II. Moving on to other equities and credit, as well as an overview of our cash position. Tetragon makes investments directly on its balance sheet reflecting single strategy ideas. These ideas are either as co-investments alongside our TFG Asset Management managers or they sometimes are idiosyncratic investments. Each of these investments tend to be opportunistic and with a catalyst. Often, the sourcing of these investments has been facilitated by the managers on the TFG Asset Management platform, as well as through third-party managers with whom Tetragon invests. The flexibility to invest in these opportunities is a benefit of Tetragon's structure. This segment generated a loss of $32 million during the first half of 2024. While eight of the 15 positions contributed gains, these gains were outweighed by negative contributions from two positions that had been positive drivers in 2023. The first a biotech company retraced as comparable peers reported mixed trial data and results, which diminished market enthusiasm for autoimmune therapies. The second a leader in AI-assisted workflow automation fell in the second quarter due to a CEO change and market disappointment over a reduction of forward sales guidance. We used this weakness in the stock as an opportunity to materially increase our stake as we see the CEO change as welcome news. Over the first half of 2024, we added four positions and exited three including our sole credit position. Moving on to our cash balance. Tetragon's cash at bank balance was $7 million as of June 30. After adjusting for known accruals and liabilities both short and long dated, Tetragon's net cash balance was negative $365 million. Tetragon has access to a credit facility of $400 million with maturity date in July 2032. As of June 30, $300 million of this facility was drawn and this liability has been incorporated into the net cash balance calculation. Tetragon actively manages its cash levels to cover future commitments and to enable it to capitalize on opportunistic investments and new business opportunities. During the period, Tetragon used cash as follows; $223 million to make investments, $30 million to repurchase its shares, and $11 million to pay dividends. $180 million of cash was received as distributions and proceeds from the sale of investments. Future cash commitments are: $112 million comprising investment commitments, across BGO funds, private equity funds, Tetragon Credit Partners funds, Contingency capital funds and working capital loans to certain TFG Asset Management -- managers. Finally, I'm going to go through a few of our future investment expectations. We expect our allocation of hedge funds to remain stable. We expect to continue to invest in CLOs via various Tetragon Credit Partners vehicles, while at the same time receiving cash back from some of Tetragon Credit Partners' initial funds. So this should be a stable overall allocation. We expect our real estate investments also to be relatively stable because we have commitments to BGO funds, but we also have existing investments that continue to distribute capital. We expect our private equity allocations to keep growing and there are a few additional LP commitments we've yet to fund. As such we expect our Banyan Square allocation to continue to grow. In legal assets, Tetragon will continue funding its commitments to Contingency Capital vehicles. In other equities and credit, we expect to continue to invest in these opportunities, but the timing of these investments is less certain. And lastly, we're hopeful that there will be additional allocations which will make to new asset classes, but there's nothing to report at this time. I'm going to now hand it back to Paddy.
Paddy Dear: Great. Thanks very much, Steve. I don't actually have any questions in front of me which I'm assuming is not a lack of interest in the first half performance. It's either a technical glitch and if it appears to be then I will come back to everyone individually or Yuko and I and Paul or whoever is the right person. But otherwise I assume August is a quiet month. I also assume that actually the first half there wasn't anything dramatic happening in the first half and possibly it's due to the Olympics. Anyway whichever it is I wish you all a good summer and thank you very much for joining.
Operator: Thank you. This now concludes today's conference call. You may now disconnect.
End of Q&A: